Operator: Good morning, ladies and gentlemen, and welcome to the Fast Radius Fourth Quarter and Full Year 2021 Conference Call. Delivering today’s prepared remarks are Co-Founder, CEO and Chairman, Lou Rassey; and Chief Financial Officer, Prith Gandhi. Following their remarks, we will open the call for your questions. And now, I’ll turn the call over to Lou Rassey. You may begin.
Unidentified Company Representative: Good morning, ladies and gentlemen, and welcome to the Fast Radius fourth quarter and full year 2021 conference call. Delivering today’s prepared remarks are Co-Founder, CEO and Chairman, Lou Rassey; and Chief Financial Officer, Prithvi Gandhi. Following their remarks, we will open the call for your questions. Before we go further, I will now read the company’s Safe Harbor statement that provides important cautions regarding forward-looking statements. On today’s call, we will be referring to the press release issued this morning that details the company’s fourth quarter and full year 2021 results, which can be downloaded from the Investor Relations page at ir.fastradius.com, where you’ll also find the latest earnings presentation that supplements the information discussed on today’s call. The recording of the call will be available on the Investor section of the company’s website later today. Please be aware that some of the comments made during this call may include forward-looking statements within the meaning of the Federal Securities Laws. Statements about the company’s beliefs and expectations containing words such as may, will, could, believe, expect, anticipate and similar expressions constitute forward-looking statements. These statements involve risks and uncertainties regarding the company’s operations and future results that could cause Fast Radius’ results to differ materially from management’s current expectations. While the company believes that its expectations are based upon reasonable assumptions, numerous factors may affect the actual results and may cause results to differ materially. So the company encourages you to review the safe harbor statements and risk factors contained in today’s press release and in its filings with the Securities and Exchange Commission, including its Form 8-K/A filed today and periodic reports, which identify specific risk factors that also may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this call. The company also notes that on this call, we’re discussing non-GAAP financial information. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find additional information and a reconciliation of these metrics to the company’s reported GAAP results in the reconciliation tables provided in today’s earnings release and presentation. And now, I’ll turn the call over to Lou Rassey, company’s Co-Founder, CEO Chairman. Lou?
Lou Rassey: Good morning, everyone, and thank you for joining us. We are excited to host our first earnings call as a public company. Today, I’ll start with an overview of Fast Radius and provide some market context, and then I’ll discuss highlights from 2021. From there, and I’ll turn it over to our CFO, Prith Gandhi to walk through our financials. I’ll end with further thoughts on our go-forward strategy and our outlook for 2022. First, I’ll take a moment to share who we are, our purpose and the heart of our company. Fast Radius is a leading cloud manufacturing and digital supply chain company. Our purpose is to make new things possible to improve the state of the world. Manufacturing is important. In fact, it’s absolutely central to our lives not just for the things that makes cars, the cell phones and satellites, but for the things that makes possible. Manufacturing makes the world more connected, more healthy and more sustainable. Manufacturing can help feed and power the world. As has always been true. But now in the digital age, the sector’s potential to drive progress in the world is clear. We have new tools to design, make and move products in ways we couldn’t have imagined even a decade ago. Now let’s talk about what we do at Fast Radius. We are building the platform and infrastructure to empower engineers to design, make and move what they need, when and where they need it. That’s not a small ambition. But manufacturing is not a small sector or a niche industry. It is worthy of bold new ways of working the power progress. With that mission guiding us, our product is the Fast Radius cloud manufacturing platform, a first-of-its-kind platform that provides software applications, manufacturing solutions, and a network of factories that help engineers design, make and fulfill commercial grade parts. This enables companies to manufacture and ship parts more easily, flexibly and sustainably. What do we mean by cloud manufacturing? That term is analogous to cloud computing, both employee Internet connected facilities where users access shared physical resources, use software to orchestrate those resources and build applications without having to invest in complex costly infrastructure themselves. While cloud computing uses state-of-the-art data centers, cloud manufacturing, leverages state-of-the-art factories. The Fast Radius cloud manufacturing platform has four layers. First, we have our microfactories and network of third-party suppliers. This is the physical infrastructure where parts are produced. Sitting on top of that, we have a digital thread learning engine. The digital thread is capturing data across the multiple steps of working with our customers on our platform. The learning engine allows us to analyze this data and become smarter with every part made. Next we have our operating system. This is how we orchestrate the work that we do for our customers from providing design intelligence on the front end to orchestrating quotes and production schedules, to assigning work to our factories into our suppliers, to engaging with suppliers during production, all the way through fulfillment. On the very top, we offer our customers access to software applications and manufacturing solutions. Today, our manufacturing solutions include Fast Radius on-demand, virtual warehouse, additive launch, and custom micro factory. In the future, we expect third-party developers will also be able to build apps and services powered by the cloud. Via the Fast Radius cloud manufacturing platform, we’re making it possible to design in order parts without having to own production equipment or hire and train a workforce for advanced manufacturing. We are making it possible to store parts digitally instead of on a warehouse shelf. We are making it possible to ship parts digitally instead of by boats and planes. We are making it possible to make things local to where they’re needed. We’re allowing our customers to move away from carbon-intensive supply chains and helping supply chains adapt to the needs of our time. We are codifying substantial manufacturing knowledge and putting it in software. We’re then empowering any engineer with a browser to design new things and new ways and then have the power to manufacture them. Next, if we think about the market we play in, we believe there’s a large opportunity. Let’s start first with the market that is making component parts. Today, Fast Radius makes money by making parts for customers across the automotive, aerospace, medical, healthcare, industrial and consumer goods industries. This is a significant market, $250 billion today for component parts less than 100,000 units annually. This includes a range of manufacturing technologies, which we employ, including CNC machining, injection molding, sheet metal, and additive manufacturing. Now on the software side, if you consider the market that’s opened up by the cloud, the opportunity becomes even larger. For example, Fast Radius’ building software tools that provide feedback on the manufacturability of a part that are complementary to existing design and engineering simulation software tools. Design simulation software is used by millions of professionals and represents an addressable market of billions of dollars. We believe these types of new software products enabled by cloud manufacturing and the business models from them, digital design assistance, digital parts storage and digital logistics can create new pools of value and opportunities for us in the future. Today, the component part making market is an important and large market that we are tackling and that is being reset by industry 4.0. Industry 4.0 is not simply one new technology, it’s advancing the state of manufacturing, but many innovations that are reimagining how we design, make and move products throughout the world. For example, we see new tools to enable digital design, digital simulation, and visibility into manufacturing, supply chain logistics and operations. Similarly, there’s new equipment to make products in new ways 3D printing, employing robotics, factory automation, next-generation machining and smart digitized factories. These innovations capture data throughout the manufacturing process and supply chain and we believe this creates a compelling tailwind for cloud manufacturing. In addition to industry 4.0, there are other tailwinds, we think are important to note and get grounded them. The first is that the expertise to leverage industry 4.0 innovations is scarce. Very few companies have access to it. It is an opportunity that is largely untapped for most manufacturers. Second and the digital age. People want modern frictionless software-driven experiences in their work just like they have in their consumer lives. The third tailwind is a need for more sustainable and flexible supply chains. That’s in the headlines every day and the impacts to the economy have been widespread. We’ve heard the global need for more resilient supply chains and believe we’re well positioned to take advantage of this call to action. When we take all of that together, we see a large market being reset by powerful forces, industry 4.0, creating opportunities for Fast Radius to scale. With this context, I’d like to provide some of the key milestones we hit in 2021. We’ve made progress across multiple layers or acquired manufacturing platform. First, we made significant steps forward and building out our physical infrastructure, first layer the platform. We launched our new Goose Island campus, which will house CNC machining and additive manufacturing capabilities. We also expand our third-party supplier network, significantly increasing our manufacturing capacity. Second, we replatformed our software operating system, migrating from a legacy platform to a more modern infrastructure that strengthened our foundation and allows us to deploy new tools and features more quickly to our customers. This is apparent in the expansion of our design for manufacturability checks, which now cover many more attributes for additive manufacturing and traditional manufacturing methods. We believe this modernized platform will continue to be crucial as we work to build out our standalone software and seek to monetize software in the future. Third, we saw successful applications of our core manufacturing solutions, additive launch, virtual warehouse and virtual factory not only see new customers leveraging our solutions, but repeat customers expanding their business with us. In addition, last year, we introduced a new manufacturing solution, our custom micro factory solution, which gives us the opportunity to stand up microfactories on our customers’ behalf that meet their specific needs and requirements. All this solution shows really promise we do not expect them to have material financial impact this year. We remain excited about this long-term opportunity. Of course, another important milestone is becoming a publicly traded company. We are entering 2022 with an amazing team that has set us up for success. I’d like to call attention to our leadership team with deep experience in technology-driven industrial public companies. We also have a fantastic Board of Directors with experience disrupting industries and quickly scaling technology-driven businesses. Now turning to the 2021 financial results for Fast Radius. Our full year revenue was $20 million for 2021, up 43% compared to the prior year. From a quarterly perspective, revenue was up 52% in the fourth quarter of 2021 compared to the same period in the prior year. We expect top line growth to continue as we enhance and scale our cloud manufacturing platform, a subject that I will elaborate on shortly. But first, Prith will cover the financials in further detail. Prith?
Prithvi Gandhi: Thanks, Lou, and good morning, everyone. Our revenue for the fourth quarter of 2021 increased 52% year-over-year to $6.4 million compared to $4.2 million a year ago. The increase was driven by new customer sales and increased revenue from existing customers. For the year ended December 31, 2021, revenue was up 43% to $20 million compared to $14 million a year ago. Our gross margin percentage was 3% in the fourth quarter of 2021 compared to 17% in the prior year period. The decrease was largely due to an investment we made in a new CNC manufacturing facility in 2021, which is currently running at low utilization and driving unfavorable manufacturing variances as we ramp up production. In full year 2021, gross margin was minus 1% compared to 14% in 2020, with a decrease due to the same low utilization, as well as the incurrence of costs related to a customer contract for which we do not yet meet the U.S. GAAP rules to recognize revenue. We also incurred a one-time expense related to certain additional duties potentially owed to U.S. customers. Together, these items released 2021 gross margin by approximately 11%. Our sales and marketing spend was $7.4 million for the fourth quarter of 2021 compared to $2.2 million for the prior year period. The increase was attributable to higher employee compensation, due to incremental sales and marketing personnel higher during the year and higher digital and brand marketing in order to attract new customers. Our G&A spend was $10.5 million for the fourth quarter of 2021 compared to $2.8 million in the fourth quarter of 2020. The increase is driven by higher employee compensation due to incremental G&A personnel higher during the year, additional facility costs, ongoing public company expenses and transaction and other-related expenses to support the closing of our merger with ECP. Research and development costs were $1.9 million for the fourth quarter of 2021 compared to $0.7 million for the prior year quarter. The increase was related to higher employee compensation due to incremental R&D personnel higher during the year to support the continued development of our cloud manufacturing plants. Partially offsetting the increase in R&D costs was approximately $1 million of internal use software development costs that were capitalized on the balance sheet. As a result of these increases in operating expenses, or loss from operations for the fourth quarter of 2021 was $19.5 million, compared to a loss of $4.9 million for the fourth quarter of 2020. Adjusted EBITDA for the fourth quarter of 2021 was a loss of $17.5 million compared to a loss of $4.5 million for the prior year quarter. For 2021, our adjusted EBITDA loss was $53.3 million, compared to a loss of $19.4 million in 2020. These decreases in year-over-year adjusted EBITDA were driven primarily by lessons in our sales, marketing and software engineering personnel, as well as increases in marketing expenses and expenses relating to public company readiness, including accounting personnel systems, and increase recruiting, audit and accounting services. Moving now to our key business metrics. We believe total bookings helps provide additional insight into our operational progress. As a reminder, total bookings represents the anticipated contract or purchase order, value of goods and services to be delivered in the future under contracts, which have been executed, as well as contracts under negotiation that are price, fully scoped, verbally awarded and expected to be executed shortly. For the fourth quarter, we had approximately $7 million in total bookings. For the full year ended December 31, 2021, total bookings were approximately $41 million, representing growth of almost 200% year-over-year. Now to discuss our liquidity. We had $8.7 million in cash and equivalents as of December 31, but this is prior to the consummation of our merger with ECP. Assuming the deal was closed on a pro forma basis, as of December 31, 2021, our cash and equivalents were approximately $82 million, reflecting gross proceeds of $106 million from the closing, that’s various transaction and other related fees. We also defer the payment of approximately $12 million of other transaction-related fees that will be due later in 2022. Additionally, we negotiated an amendment to one of our term loans that defer the payment of approximately $19 million of that loan from the closing date. As a result, for this loan and all other debt obligations after consummation of the merger, we now have approximately $13 million that is payable later in 2022, $15 million payable in 2023, and an additional $4 million through 2025, excluding related interest payments. As part of the transaction, $18 million of our outstanding debt as of December 31 was converted into common stock at the close of our merger with ECP. More information related to our liquidity is included within the MD&A section and a Form 8-K/A that we filed with the SEC today. Given the gap between actual proceeds received and the $445 million that was potentially available from our stock transaction, we will seek additional financing in 2022 to repay indebtedness, fund ongoing operations and support our growth objectives. Lastly, a few items relating to our SEC filings. We filed a notice of late filing relating to the 2021 form 10-K for ECP, which includes the 2021 audited financial statements to ECP, our spot partner we’ve merged with in February. However, I would highlight that the Form 8-K/A, which we also filed today, includes the 2021 audited financials for Fast Radius, which provides our historical financial results. We also disclosed that we change auditors engaging Deloitte for our 2022 audit. In addition, in the process of preparing our 2021 audited financial statements, management identified an overstatement of revenue and errors and certain expenses for the nine-month period ended September 30, 2021. As a result, we have restated our previously issued financial statements for the nine months ended September 30, 2021. We are addressing the control issues that led to the restatement and continue to work to build out our internal controls. Now, I’ll turn the call back over to Lou to provide additional color on our guidance for 2022 and other strategic initiatives. Lou?
Lou Rassey: Thank you, Prith. Overall, we believe our revenue and bookings growth provide evidence that more companies are adopting new digital manufacturing and supply chain solutions and that our offerings are meeting their needs. I want to shift now to discussing 2022 specifically our outlook and strategic initiatives. For full year 2022, we expect to deliver revenue of between $27 million and $32 million and adjusted EBITDA loss of between $72 million and $65 million. Now, how are we going to get there? In 2022, we intend to tighten our focus, our vision is not changing. We intend to continue to build out a cloud manufacturing platform, the physical infrastructure, our internal software to orchestrate it, and a software-driven customer experiences that are powered by it. However, in light of our current cash position, we intend to be disciplined and focus on capital efficient growth as we execute on our plan. In 2022, we plan to grow by making more parts, while going to focus our efforts and investments in areas that help us make more parts for our customers. We’ve been doing this year-over-year, we have a solid track record, and this year we intend to supercharge those growth efforts. Let me provide a few details on how we expect to do this. First, we plan to focus on enhancing our customer acquisition motions for both new customers and account expansion with a common theme of driving digital engagement. Specifically, we’ve created a digital direct sales team with a goal of driving more customers to our digital platform, meaning it’s a scalable self-serve experience for customers to order parts and engage with us. We have also refined our managed sales team as a complement to our digital sales motion. Some managed sales reps are focused on new customer acquisition and others are dedicated to the expansion of current customers with digitally supported workflows for both. We’re also focused on optimizing our investment in digital marketing in order to target individuals within existing customer accounts to raise awareness of our capabilities. Second, we intend to further build out and optimize our supplier network. An important part of our growth plan will be increasing our manufacturing capacity, menu of capabilities by onboarding new suppliers and expanding the Fast Radius on-demand solution. Specifically, we have a new internal team that is responsible for onboarding new supplier partners. Additionally, we’re expanding the digital workflows for our internal supply team to manage the day-to-day production of logistics with our suppliers. We believe this will provide real-time feedback of available capacity to our sales team and better match the demand and supply sides of the marketplace to drive growth. Today, we have the ability to increase utilization within our own microfactories and with our current suppliers. As we focus on building out our supply network, we do not expect to invest in new Fast Radius microfactories this year. Third, we will focus on enhancing our user experience in digital workflows, our marketing, sales, manufacturing, supply, and product teams are working together to improve the customer journey from beginning to end. Specifically, we’re investing in scaling up the use of more digitally-driven workflows, which we believe are inherently more efficient for our teams, our suppliers and our customers. These workflows will extend from quoting the costing to design feedback to factory operations to supply chain operations, customer support to quality and all the way through to fulfillment. We continue to drive toward a digital operating model in all parts of our business. More specifically for our customers, a significant portion of our software team is focused on optimizing and expanding the use of our online portal at each stage of the work our customers do with us. We want to make it easier and faster for our customers to get certified industrial grade parts made reliably, economically and repeatedly. Our software team is focused on building and refining a great user experience and which parts are ordered, tracked and delivered. In addition, we recognize the quoting and ordering experiences are just a couple of the many steps and engagement points for producing industrial parts. For example, before parts have made, their significant engagement finalize a design that can be made to determine the geometric dimensioning and tolerancing requirements. Similarly, while parts are being made, there’s engagement to understand how production is going versus plan. With all this in mind, we expect to launch new features and functionality in our software to bring additional insight and value to customers. We are seeing early and positive signals of customers using our software not just when they need parts made, but at other stages in the life cycle. Our goal is to utilize our software to build an attractive product-led growth flywheel over time. Finally, as Prith mentioned earlier, another priority this year is securing additional capital to support our growth objectives, as well as meeting other business needs. To recap, in 2022, we are driving focused and bold action across these four things: enhanced customer acquisition motions and expanded supply market; distinctive digital workflows for our customers, teams and suppliers, while building the foundation for product-led growth; and further capitalizing the company. Now, where will all of this take us? This year, we are focused on operating with excellence ensuring we have a strong start as a public company. We intend to reach our 2022 financial goals and open up additional opportunities to drive innovation. For instance, we ultimately intend to build out our suite of software tools across the lifecycle of a part design, make and move. As we enhance our current online portal, user experience increasing the user base, getting feedback and data from our users, we believe we will set ourselves up for success to create impactful standalone software tools in the future. Today, we do not monetize these tools, but we see this as an opportunity over the long-term. Looking at 2022, we expect tailwinds and headwinds. Earlier we discussed the tailwinds at play. These are in our favor and their forces that we believe are not fading away anytime soon. Industry 4.0 is here and more companies require digital evolution. The tailwinds propelling us are strong expertise. An industry 4.0 is scarce. People need modern experiences in this industry and the world needs sustainable flexible supply chains more than ever before. I would also be remiss if I didn’t mention several of the headwinds we expect to encounter this year. For instance, our business is not immune to the impacts of global events and COVID-19, the developing Ukraine, Russia war, and the continued part shortage for electronics. We anticipate these macro headwinds to continue to impact our business in the form of order delays, or cancelations as they affect our customers and supplier network. However, we’ve successfully grown before and uncertain in volatile times. In fact, many of the headwinds speak to the need for Fast Radius. Our customers are seeking to create new, more resilient supply chains, and to bring new products to market that meet the needs of our time. In closing, I want to thank our entire Fast Radius team for making this past year possible. We saw significant growth, work towards closing a merger and further strengthen an industry-leading infrastructure and our cloud manufacturing platform. I’m grateful to the customers that put their trust in us and for our team’s ability to navigate a challenging macro environment and deliver on our results. We have more conviction than ever on the market opportunity in front of us and need for new ways of designing, making and moving things. We also believe we are uniquely positioned to help drive our industry forward. We are now focused on executing our plan for 2022 and for an exciting road ahead. We created Fast Radius to bring manufacturing into the digital age and together are going to make new things possible for the world. Operator, we are now ready to take questions.
Operator: Thank you.  Our first question comes from the line of Jim Ricchiuti with Needham and Company. Your line is open.
Jim Ricchiuti: Hi. Thank you. Good morning. Couple of questions. So first, if we go back to early November, I think it’s fair to say you expected to close the year out stronger. And I’m wondering if you could talk to some of the factors that might have contributed to the slower Q4 revenues. And then I have some follow-up questions.
Lou Rassey: Yeah. Hey, Jim, thanks for being with us today. I think to reflect on Q4, I think a few things that I would highlight. Prith mentioned a couple of the adjustments for one of our larger customers, where there was a pushing out of revenue into forward quarters. I think that factored into some of what we saw as we closed the year. I think also more broadly, as we look at the kind of the stage and scale of our business, there’s going to be some quarter-to-quarter volatilities given the size of where we are now. Jim, I think I would steer us back to kind of the overall year-on-year growth and momentum. And it’s thinking about that as a way of reflecting on the progress in the business and there we look at our bookings is a really powerful indicator with nearly 200% year-on-year, quarter-on-quarter growth in Q4, very meaningful over prior year. And so I think as folks are getting comfortable on understanding, I think it’s – those markers that we would steer to. I’d close out also just highlighting the backlog because we think about the $40 million or so bookings that we received last year, that does provide some meaningful backlog as we look to this year and the road ahead.
Jim Ricchiuti: Got it. And maybe to the point of the strength you’re seeing in the business, we’re here at the end of Q1. And I wonder if you could say whether your orders for the quarter are directionally up or down versus Q4.
Lou Rassey: Yeah, Jim, I’ll offer a little bit of color. We’re seeing a good start to the year. For Q1 specifically, we did end last year with some backlog. And the year-on-year and quarter-on-quarter bookings growth momentum that I mentioned that will help us as we look to the year ahead. On revenue contextually, it’s important to understand that there is some seasonality that we experienced in Q1 in the business. Two-thirds of our revenue is from external supply network, a portion of which is in Asia. And so we typically see some billing slowdown related to Chinese New Year in Q1 that shifts in Q2. And in addition to that normal seasonality, we were affected in Q1 this year by coding-related shutdowns in China for some of our suppliers, that will move some revenue out of Q1 and into Q2. So all of that together, Jim, we think, and we expect Q1 revenue to be around 15% of our full year revenue outlook, to give you a sense of how the year is starting out. I think if we look at the overall guidance that we’ve provided for the full year 2022, we are very confident in our ability to execute. As we look to the full year, we have a proven growth motion that has been working. And the assumptions for this year are based on a recent performance trends, including our revenue, conversion from bookings to billings as well as gross margin. In addition to that, we have a backlog that I mentioned, providing momentum. And then last year, through the year, we made real investments in the foundations for us to grow this year. The software, the digital workflows that I mentioned, the people, the production capacity, the digital-driven business processes that we really invested in over the last year, and provide a solid foundation for us to grow this year. We do have the capacity in our manufacturing network and in our people that we ramped up last year to deliver on our plan that we put forward here. And then I think the other point on momentum and our perspective on the year and the guidance we provided have a very specific operational strategy that we put in place to scale and executions in motion here in Q1 and enhancing the customer acquisition motions, building out our supplier network, to accelerate meet times and extend our offering in menu and then all the digital workflows and recruiting efficiency and speed at which we operate all that emotion. And then kind of add into that, Jim, both for Q1 and for the year more broadly, the macro forces that we think are in our favor. Every day, our customers and we see it in the headlines as you all do. There is a need for new supply chain models with companies who are looking for more resilience, more speed, more flexibility, the ability to make things locally to where they’re needed. We think all of that has created momentum for us here as of late and certainly as we look to the road ahead.
Prithvi Gandhi: Yeah. I just got a couple of things to add, Jim, to Lou’s remark. So long just on our bookings for Q1, we’re seeing mid-teens growth both sequentially, and year-over-year. And secondly, just from an adjusted EBITDA perspective, kind of when I look at Q1, what we’re expecting for adjusted EBITDA is a loss of $2 million to $3 million higher than the average quarterly run rate implied by our 2022 outlooks. And there’s a couple of reasons for this. So one, in terms of our Q1 dollar gross profit, we expect that to be about level with where we exited Q4 2021. And this is because we expect this to improve as we continue to scale throughout the years. The second thing we did as we’re adjusting our operating model. In March, we implemented certain operating model improvements to drive greater efficiency and those will benefit the rest of the year.
Jim Ricchiuti: Got it. That’s helpful. And Prith, if you could just what should we be thinking about in terms of share counts for Q1?
Prithvi Gandhi: Well, the total outstanding – I’ll follow-up with you, Jim, but it’s roughly $85 million is kind of where we closed a deal with. But I’ll get you a more exact share account.
Jim Ricchiuti: Got it. I’ll jump back in the queue. Let some other folks have questions if they have. Thank you.
Operator: Thank you.  Our next question comes from the line of Troy Jensen with Lake Street. Your line is open.
Troy Jensen: Hey, gentlemen, a couple of questions. I’ll start with Prith here. Yes, I want to just dive into cash a little bit again. I heard the $82 million cash on the balance sheet assuming the SPAC conversion, but can you go through the debt components, again, I guess, $12 million and $13 million and maybe a couple of other numbers that I can agree on what the total debt position is?
Prithvi Gandhi: Yeah. So yeah, good question. So in terms of the debt on the balance sheet, there’s about $90 million over a loan from SVB Capital that expires in April of next year. In addition, we have a term loan with SVB, the bank, that’s roughly $9.5 million as of the closing of the transaction. So that’s the debt component. And then in addition to that, we deferred certain transaction fees and other related expenses, and that’s roughly about $12 million. All of that gets paid over the coming 12 months.
Troy Jensen: Gotcha. Understood. All right. And tougher question here for you guys. Nine months ago, you talked about doing $104 million in revenues for 2022 and now you’re talking to $30 million. But you really talked about market momentum and it seems like it’s the best of times right now, for most service peers out there in the market. So can you just explain you just did a big gap here in a 70% cut and what you guys are expecting now for 2022?
Lou Rassey: Yeah, I’ll start with a few reflections on the top line. Our prior outlook was predicated on achieving $445 million in proceeds through the SPAC transaction versus the $106 million or so that we realized, and this requires us to adjust how aggressively we are driving growth this year. I think secondly, on some of the investments that we have made to drive growth and customer adoption are taking a little longer than we had planned with some of the macro forces that are at play. I and Prith mentioned, some of the effects of chip shortages, for example, on customers that are delaying scale up of new vehicle programs and pushing out into next year versus scaling up this year, number of our customers are experiencing the effects of some of the supply chain challenges beyond to offset that does have an effect on us. And so I think those are a couple forces to note. But nonetheless, we’re confident in our ability to keep growing over the long-term and the 2022 guidance that we provided reflects strong growth versus 2021. And looking investments that we’ve talked about will position us for continued growth in 2023 and beyond. Burt as you noted and we agreed, there are large and strong tailwinds behind us in a very large market. So we are optimistic and we do have a proven growth motion. But all of that together and we feel confident on the guidance we provided.
Troy Jensen: All right. Understood. Good luck, gentlemen.
Lou Rassey: Thank you.
Operator: Thank you. We have a follow-up from the line of Jim Ricchiuti with Needham. Your line is open.
Jim Ricchiuti: Yeah. I was wondering if you could spend a few moments just in terms of as you look at obtaining additional financing in 2022. What are the – what are some of the avenues that are open in terms of how you’re thinking about that and maybe the timeline for that?
Lou Rassey: Yeah, I’ll get started and Prith can jump in. We do anticipate raising capital this year, and we’re optimistic on our ability to do that. We are proactively exploring a range of options for additional capital. We also since closing have received an unsolicited inbound interest in investing in capitalize – capitalizing our plan. And what they are seeing consistent with what we see, this is an enormous market with strong forces behind it, and a market it is in need of change. And we have built a distinctive platform that is proven, is growing and that is driven for digital scale. And so with our Board, we will evaluate options, including the quantum based on what’s in the best interest for shareholders over the long-term, what the business needs to keep on growing and the capital market conditions as the year unfolds.
Jim Ricchiuti: Got it. And thank you, Lou. That’s helpful. Just getting back to the the revenue outlook for the year. Is there a way for us to think about that range of revenues in terms of revenues from existing versus new customers that you may be onboarding, you guys have had some pretty compelling use cases. And to what extent is some of that revenue based on expectations of continued growth with some of your existing customers?
Lou Rassey: We, as you noted, have a very strong existing customer expansion profile, and that is a strong force or win rate with existing customers very high. And we see the account expansion that we’ve shared with some of our public examples of CF continuing. In addition, though, we are investing this year in new customer acquisition, particularly the investment in the digital channel for acquiring and serving customers. On that, we think is going to be very helpful and driving growth this year. So I think it is on both fronts, Jim, that we see our plan in motion and driving that the growth this year.
Jim Ricchiuti: Okay, thank you.
Operator: Thank you. I’m showing no further questions in the queue. I would now like to turn the call back over to Lou for closing remarks.
Lou Rassey: Thanks, everyone, for taking the time with us this morning. I’d like to briefly close with some reflections in where we started, which is our purpose and making new things possible. We had a belief that manufacturing is important for the world. We are setting out and are building this infrastructure to empower anyone to design, make a move what they need, when and where they need it. This is important work. And as we’ve talked about through the call our powerful tailwinds that are behind us, we have a proven growth motion that we are building on. And we’re incredibly excited about the road ahead and what we are building. And I want to thank everyone again for taking the time today, and I will look forward to continuing the discussion.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.